Høgni Jakobsen: Good morning, and welcome to the presentation of Bakkafrost's Operation and Financial Results for the Third Quarter of 2022.  My name is Høgni Jakobsen, CFO of Bakkafrost. And this morning, I will begin going through the summary of the third quarter before looking at the markets and sales development and then moving into financials and give a short update on ESG and tax as well. And then our CEO, Regin Jacobsen, will take over and go through the segments and the outlook for the company and the market. And finally, we will open up for Q&A.  So some highlights from this quarter. In this quarter, Bakkafrost's farming operation in the Faroe Islands has had a very good and strong harvest volume. In Scotland, we have also harvested more volume than in the same period last year. The FOF segment, fish oil, meal and feed, has saw less feed in this quarter compared to last year. The FOF segment was very much dominated by exceptionally good sourcing of raw material for this time of the year. The group's quarterly results were all-time high. The quarterly revenue was all-time high. And all the segments, except for the Scottish farming segment had positive EBIT in this quarter. We will come back to the numbers in a minute. First, looking at markets and sales in the third quarter. The market has very much been like a roller coaster in the third quarter, very volatile and dramatic development. In the beginning of the quarter, we had salmon prices of around NOK100 per kilo, dropping all the way down to in the 50s in certain weeks of August. Average price for the quarter was NOK70.25 compared to NOK107.46 in the second quarter. So a 35% drop or a drop of NOK37.21 per kilo. Comparing to third quarter last year, however, the price was NOK14.85 higher as the price was only NOK55.41 per kilo in the third quarter last year. In August, there was a very sudden increase of supply, which also caused a change in the dynamics in the market moving from -- moving the power from sell side to buy side. But despite of the changed dynamics in the market and the increased supply, markets remained strong, and the price increased towards the end of the quarter, and that increase also continued into the fourth quarter. In the appendix on Page 48, we have included an overview of the geographical breakdown of Bakkafrost sales in this quarter. In short, we have increased our share in North America and Asia and EU and Eastern Europe has reduced market share. Global harvest in this quarter increased around 6%. The main driver was the larger-than-expected supply growth coming from Chile, which was an increase of 26% compared to the same quarter last year. European harvest, on the other hand, was low. The growth was only 1.5%, mainly caused by low growth in Norway, but also biological challenges in the U.K. and Iceland. Feed sales -- global feed sales were almost flat in the first half of the year. And that flat development also continued into the third quarter, leading to a reduced biomass development. Harvest weights were slightly up in most regions. If we look at where the salmon is sold, the sale of salmon was increased by 4.4% in this quarter. EU and U.K. had good demand with a 5% increase. And in the U.S., the demand grew 3%, and there was, in general, better availability to the U.S. market from Chile in this quarter. Asia grew 10% and continued a good development with high demand despite supply disruptions or supply chain disruptions. If we then have to take a look at the financials. The revenue for the group was nearly DKK1.9 million in this quarter. And as mentioned, that's a record for Bakkafrost. It was an increase of 47% compared to last year. And the increase was mainly driven by the higher prices and higher harvest volumes. Group operational EBIT was DKK325 million in this quarter compared to DKK71 million same quarter last year. Onerous contracts were positive with DKK46 million -- sorry, DKK64 million, and revenue tax was minus DKK43 million. Profit after tax increased 90% compared to the same quarter last year and amounted to DKK249 million [Technical Difficulty] additionally strong with very good performance. Operational EBIT in the Faroes and the farming segment was million NOK35.6 per kilo compared to NOK12.56 last year. In Scotland, we were hampered by biological challenges, which Regin Jacobsen will go into more details in a minute. The margins were minus 22.9% compared to 16.32% the same quarter last year. The VAP margin was DKK0.06 in this quarter compared to DKK2.89, and it's actually a good achievement, we think, to have breakeven results and the VAP margins when you have the salmon prices that we have seen in the quarter. EBITDA margin for our fishmeal, oil and feed segment were 17.8% in this quarter compared to 20% in the same quarter last year. For the first nine months of this year, the operational EBIT totals at DKK1.329 billion. And earnings per share in this quarter were DKK4 per kilo compared to -- and a total of DKK15.58 for the first nine months combined. In the group's balance sheet since end of last year, property, plant and equipment have increased with DKK325 million and amounted to DKK5.2 million in -- by the end of this quarter. Biological assets have increased by DKK820 million and amounted to DKK3.3 billion, whereof DKK1.3 billion are fair value adjustments. Inventory have increased DKK527 million and amounted to DKK1.2 billion. And of course, the high activity in the FOF segment, where we have had a very rich sourcing of raw material, have contributed to the increase of inventory in this quarter. Equity have increased with around DKK1.2 billion and amount to DKK10.5 billion by the end of third quarter. And equity ratio is unchanged at 64%. Cash flow from operations amounted to DKK127 million. Cash flow from investments were negative with DKK237 million. And from financing, it was DKK171 million. And cash at the end of the period was DKK568 million. Net interest-bearing debt have increased with DKK160 million during the quarter and amounted to around DKK2.4 billion at the end of the quarter. The group had undrawn credit facilities of DKK2.7 billion. And now, some words about taxation, which is a hot topic these days. And just to make it very clear, Bakkafrost is not directly affected by the Norwegian proposed tax change, the resource tax in Norway. But of course, we have had a resource tax or rather a revenue tax in the Faroe Islands in place since 2014. And there is currently a proposal to change that system. It has already been changed 4x, so it's not unusual. And now, a fifth revision has been put forward to the parliament, but it has not been passed yet. In the current tax -- revenue tax system in the Faroes, there are three tax levels, 0.5%, 2.5% and 5%, which are triggered dependent on what the NASDAQ price is. The thresholds for these 3 levels are fixed, ranging from DKK32 per kilo to DKK36 per kilo, which means that over the past years, we have been at 5%, the maximum taxation more or less all the time. The main changes in the new proposition is to introduce 2 new tax levels, a 7.5% and a 10% level, which will be triggered when the salmon price is especially high to tax super profit more. Another important change in the system is that the thresholds for each individual level is dependent on the production cost of the industry. So there will be an annual revision of what the production costs are and depending on what that is, that then sets the thresholds for each tax level. So for instance, it has been calculated that the average farming costs for the industry, which will be used as a reference for next year, is DKK39.50 per kilo, which means that if salmon prices are, let's say, about 62%, that would trigger the 5% taxation level. Now the annual revision will then move that threshold up or downwards depending on the development in the production cost. This is a benefit. This is one of the feedbacks that the industry gave through the process with this proposition, and the politicians have listened and implemented that into the system so that we have accommodation, you could say for the inflation -- cost inflation, but that is also accommodated into the thresholds that then drive the tax -- the different tax levels, tax rates. Then some updates from -- on ESG. In this quarter, we finally received our new 4,000 cubic meter well-boat for the Scottish salmon farming operation. Late in September, it was received and employed in operation, and this is a huge benefit to us. Finally, we can say that we have sufficient treatment capacity in Scotland. This is a benefit to the fish welfare. The well-boat is equipped with fresh water treatment capacities so that we can treat for gill health, but it is also equipped with a system that can allow us to remove sea lice in one and same operation. So we can do dual-treatments in one, you could say, stress event for the fish, which is a huge benefit. So far, the promise -- the results from the operation with the boat are promising results. We also received our first fully electrical work boat in the Faroe Islands. This is a project that has been facilitated with the Nordic Council of Ministers and is done in cooperation with, amongst others, the local electricity company in the Faroes. This vessel will be powered and charged during the night with excess wind power, power that would otherwise go to waste. And it's a very good way for us to see the -- and test the feasibility of using electrical workboats in the Faroes. On the rating side, we had two new news in this quarter. We were top positioned on the Dow Jones Sustainability Index for industry peers, scoring 43 points. And we also were ranked amongst the top performers on Position Green's ranking of 300 largest companies on the Scandinavian stock exchanges, and we scored an A on that. And then our CEO, Regin Jacobsen, will take over and go through the segments.
Regin Jacobsen: Good morning, ladies and gentlemen. I will go through the segments of Bakkafrost operation in the third quarter. First, I will touch the Faroe Islands, the operations in the Faroe Islands. The volumes harvested in the third quarter in the Faroe Islands increased 13% from 14,900 tonnes to 16,850 tonnes. Harvest weight in the Faroes increased 13% from 4.6 kilo to 5.1 kilo gutted weight. The breakdown of the Faroes volumes was 13% from the South Island with an average weight of 5.9 kilo head on gutted, 52% from the North division with an average weight of 5.1 kilos and 35% from the West division with an average weight of 5 kilos. All sites had consistent and good performance. The smolt transfer in the Faroes was 4.1 million at 405 gram. The focus in our hatcheries is to produce and deliver robust, high-quality and healthy large smolt to our farms. With this focus, we see a clear positive development in optimization of the total biology of our farming operation. The experience last year have shown us the need to prioritize robust healthy in smolts in front of larger sizes. This takes down the size of the fish this year from a target of 500- to between 350- and 400 gram on back of this amendment in slower growth in fresh water phase rather than maximizing the size on the timing. We see a clearly positive impact with large robust and healthy smolt on survivability growth rate in our farms. In Scotland, the harvest volume was 8,100 tonnes versus 6,900 tonnes last year, an increase of 17%. Blooms of jellyfish and plankton with secondary AGD impact caused serious biological challenges on the farming operations in Scotland during the quarter. This both led to increased mortality and early harvest, which both increased production cost and reduced the value of the fish. The issues described in our Q2 presentation in August continued during August and into September and caused extraordinary incident-based mortality cost at DKK121 million in Scotland in the third quarter. Early harvest during the quarter resulted in low-sized fish with lower value, 3.3 kilos in average versus 3.8 kilos last year. The biological challenges in the third quarter continued into the fourth quarter, but on a lower level. In October, the extraordinary mortality was 774 tonnes versus 2,400 tonnes in October last year. Since September, we now have sufficient freshwater treatment capacity and expect this to be a driver for better biology going forward. Smolt transfer in the quarter dropped to 2.4 million versus 3.3 million last year. The size was 107 gram versus 98 gram last year. The results from new -- the new hatchery at Applecross will gradually start to deliver larger smolt in the second quarter next year. We believe that short-term marine cycles with larger smolts in Scotland will be a game changing for our smolt -- for our Scottish operations. The group farm volumes increased 14% from 21,800 tonnes to 25,000 tonnes in this quarter. The operational EBIT from the farming division in Faroes increased 2.3x to DKK444 million versus DKK135 million last year. The margin in Faroes farming operations increased to 38% versus 18% last year. And the revenues increased 52%. One of the farms in Faroes that we harvested in this quarter was Hvannasund A-21. I could have taken any of the others, but just to mention this one. The KPI at this site was the TGC growth rate of 3.42 and survivability rate of 94%, and 97% survivability if the first 3 months were not included. The feed conversion rate was 1.05. The site was stocked with average smolt of 344 gram in July, August '21, and average growth time was 12.4 months or 377 days. Average weight of the fish was 4.8 kilo gutted weight, totaling 5,500 tonnes harvested fish. In Scotland, the operational margin dropped 69% to minus DKK137 million versus minus DKK81 million in the third quarter '21. We are not satisfied with the development in the Scottish operation and have a higher focus on the turnaround of the operation. The temperature in the Scottish farming region were slightly higher than last year. In Faroe Islands, the biology have been strong and good. We see all-time low sea lice levels, and we see good size on harvested fish from all farms, strong growth rates, low mortality and good price achievement in the market. The margin nearly tripled from -- to [DKK35.60] versus DKK12.56 last year. In Scotland, the operation was significantly hampered by the environmental blooms, causing significant impact on the mortality. A large share of early harvest in the quarter impacted average weight in the wrong direction and reducing value and volume and therefore, the margin dropped to DKK22.90 per kilo. The level of technology in our Scottish hatcheries is about to be transformed from very old fashioned and modern technology from the '80s -- 1980s to state-of-the-art technology. This takes time. Here are some examples of the sites where we are working on the transformation. This is Geocrab site, one of our hatcheries before we make any amendments, and this is the Applecross site before we started the new building project. And this is a picture of the project under construction at Applecross as we speak. We see on the picture to the left, on the left side, the phase 4, which will be producing smolt in the second quarter -- or delivering smolt in the second quarter next year. And phase 6 is on the right side, where the foundation is being prepared. The hatchery in Applecross was the first of our new hatcheries and the first large smolt will be delivered in the second quarter '23. From that point, we will be able to deliver a constant flow of large smolt to our marine farms from the site -- from this site. The last part of the expansion at Applecross will be phase 5 and 6 and will be in operation by end of next year, which means that one year from now, we will be able to produce 10 million smolt at large sizes from Applecross. We plan to build three of these state-of-the-art hatcheries in Scotland. They will all have similar capacity as the Strond hatchery that we have built in the Faroes that was finished built a few years ago. Next in line, we will hopefully deliver large smolts around three years from now. The experiences Bakkafrost has developed from the mid-90s with RAS systems in the Faroes are vital to us in minimizing the risk in this process. We have, during the last 10 years, built many new projects and upgraded also old technologies in the Faroes. We are about to do the same in Scotland, but on a much more rapid journey. On the left side, we see the old Barvas hatchery. And on the right side, we see the state-of-the-art hatchery in Strond facility, which is the model for our new hatcheries in Scotland that will produce all the smolt in Scotland in short time. The strategy to produce large smolt in hatcheries is to reduce the biological risk in the farming operation. This clearly increases the production efficiency, enables growth in our operation. Using only 10 to 12 months per cycle in the marine phase will reduce the biological challenges significantly. And with robust smolt, we see a clear trend in our KPIs, that is survivability rate increases in the -- on the fish's lives and grows exceptionally well. One summer, one loch, one operator, one generation are crucial for our Scottish operation. With good resources for fresh water treatment capacity now with the two vessels in place and with Applecross starting up to supply smolt, about 200 or around 200 gram from second quarter '23, we are hopeful for the future in Scotland. The learning with large smolt from the Faroes are valuable for the difficult situation in Scotland. Comparing the development, the Faroe Islands with our plan in Scotland, we see our road map for larger smolts in Scotland. We see a more ambitious path, but we are already next year going to reduce the gap from 10 years down to five years and by '25, we are heading for 400 gram and reducing the gap to two years between our operations in Scotland and Faroes. The results are very clear, lower risk, better efficiency, high survivability and more sustainable farming operation. In the Faroes, Strond really impacted our fresh water operations from '18 to '19 or '20 after many [smaller] expansions, we -- had been made in the Faroes from 2011 to '15. And in '22, 2023, we will see the impact from the expansions in Glyvradal, Norðtoftir, Viðareiði hatcheries in Faroes that will increase the capacity another level in the Faroes. And then finally, our hatchery in Ónavík in Faroes will take it further from there. In Scotland, up across phase 4 will start operation in January '23 and start to deliver smolt into our marine sites in the second quarter, and phase 5 and 6 will then start around 1 year later, adding the capacity up to around 10 million large smolts. Hatchery #2 and 3 will be built during the period '23 to '26. Our solution for Scotland is clearly large, robust smolt. They will stay shorter time in the water, and they will be more robust to handle issues, and issues will be there also in the future. With Applecross scaling up production in '23 and '24, we will gradually see the benefits and game-changing effects of this significant investment. So going back to the VAP segment. I am pleased with our strong development in our VAP segment with salmon price in the quarter, spot price around NOK70, result around 0 is acceptable. However, in the future, contracts will increase significantly in price, and that will have a positive impact on our next year operation in our [indiscernible] operation. We sold 24% more volumes in the third quarter this year than last year. The revenues increased 45% from DKK267 million to DKK386 million. The operational EBIT dropped from DKK11 million to nearly 0. The EBIT per kilo was DKK[0.06] versus DKK2.89 last year. 38% of the volume in the quarter was used internally for our VAP segment versus 35% last year. The VAP operation in Faroes is very, very efficient and has a great competitive advantage that we have built for 30 years. Going into the feed segment. What can I say? Our feed segment delivered once again an impressive result, and we have been blessed with good sourcing of raw material in the quarter, which was all-time high for our third quarter. Never since 1966, we have produced so much fish oil. EBITDA increased to DKK120 million from DKK111 million last year. The margin was 18% versus 20% last year. The external sales of fishmeal was 7,130 tonne in this quarter versus 2,800 tonnes last year. And year-to-date, 22,174 tonnes of fishmeal has been sold externally versus 13,000 tonnes last year. Fish feed sold in the third quarter was down, around 38,000 tonnes versus 45,000 tonnes last year, but 97% are sold internally. Fishmeal and oil -- fishmeal and fish oil costs have increased on the back of increased prices of raw materials, which is a development we see globally. We produce all fishmeal and most fish oil internally, actually all fish oil and source pelagic fish and [offcuts] from local fishermen and processing facilities, which are now producing a lot of pelagic fish in the Faroes. This is both a driver for strong position for using high-quality raw materials, but also differentiation of our position in the market on the taste and good biological development in our farming operations. Raw material for feed continues to increase in cost, contributing to general inflation in food production. This trend has a big influence on all proteins, and salmon is a very efficient animal on feed conversion rate and is not doing bad at all in that competition. So coming to the outlook. The short-term outlook has been revised down, talking about the supply of salmon volumes. The unexpected supply increase from Chile in the third quarter moved some supply from the fourth quarter to the third quarter. Therefore, we take down our expectations on supply growth in '23 and from Chile in the fourth quarter '22. The Chilean drop in the fourth quarter seemed to be filled with slightly more expected harvest, especially from Norway in the fourth quarter, perhaps on back of the proposed tax amendments. The global supply in the third quarter is therefore unchanged from August expectation around 1% up from last year. The external global supply in '23, however, is reduced from around 6% to around 2% to 3%. This means that '23 will be, again, a year with a tight balance. So for Bakkafrost, we have revised our volume guidance. In Scotland, we -- on back of the biological challenges, we revised our harvest volume this year, down. And at the moment, everything in Scotland is about getting the operation under control. So volume has secondary influence. It is the operation in itself, which is important. So therefore, we are also taking the stocking slightly down to 9.6 million in Scotland next year. And we take guiding also down to 30,000 tonne for next year in Scotland. In Faroes, we remain -- keep the same level of harvest next year. Originally, if we go five years back in time when we made the five year investment plan, we targeted five years ago back at 76,000 tonne in '23. Now we guide for 68,000 tonnes. But this is on back that the investments in our hatcheries are around 1 year delayed compared with our plan five years ago -- in our five year investment plan. So that's the rationale behind this development. On the other hand, we guide up our stocking in Faroes, up to 16 million smolt for next year. On contracts, we are contracted -- we have contract -- signed contracts for 23% of next year's harvest already and expect quite soon to conclude more contracts for next year. Fishmeal and oil are expected to be around 125,000 tonne this year, raw material sourcing -- sorry, feed production and 130,000 tonne next year. Raw materials for next year -- well, quotas are increasing, blue whiting, especially so that's a good situation. But on back of a good year, this year, we guide on more or less similar volumes. On developing the company business development, we continue our investment program according to the plan late at our last Capital Market Day. We will hold a new Capital Market Day in Scotland in June next year, the 6th and 7th of June next year, where we can see investments on the Applecross and the Scottish operation, go take a deeper look into the operation there next year. That's all for now. Thank you very much. And if there are any questions, you are welcome.
Q - Carl-Emil Johannessen: Carl-Emil, Pareto. One question on the Faroes operation. As you show the spot prices are down almost NOK40 from Q2, but your margin is down less than NOK30, could you say something about the reason? Is it better price achievement versus the reference price, or are your costs also significantly down? And then cost also going forward on the Faroes, should we assume the very strong level as we saw in Q3, or are there any changes into the next quarter?
Regin Jacobsen: The operation in the Faroes in the third quarter was very strong. There was a good achievement in all farms. All harvested farms had a very good performance on the cost side. So I guess that's the main driver. On the price, we harvested June, the whole quarter, more or less, every week. And as you know, we started the quarter at NOK100 in spot price and ended in the 50s. So there's a big variation there. So I don't have numbers on the deviation. Going forward, as mentioned earlier, when we went into larger smolts, there were some starting up issues, which mainly impacted us last year and also going into this year. We see now a clear trend that the largest smolt grown on this new way has very good biological performance with lower mortality, better growth, lower feed conversion ratio, et cetera. So I expect a strong operation in the Faroes going forward.
Christian Nordby: Christian Nordby, Kepler Cheuvreux. Last year, we saw accelerated mortality cost in Scotland, Q4 versus Q3. And this year, you showed that so far, Q4 is looking better. But how should we think about Q4 '22 now versus Q3 in terms of extraordinary mortality costs based on what you know today?
Regin Jacobsen: I already told you most of what I know today about the mortality in October. I think that the trend is better -- much better this year. That's quite clear. But there are still some grumbling mortality and that's why we had the 774 tonnes of mortality in October versus the 2,400 tonnes last year in October. There will be some grumbling mortality going forward because there are some sites, which have been negatively impacted by the third quarter, which will continue to be impacted. We clearly see that what we have now in place of capacity is quite good compared with what we had. So even if we had one interim vessel during the summer to take down the risk before we had the final solution now in September, which was meant to be in July, we saw that the third quarter was much more impacted than we hoped for. We don't see -- or we see a risk in Scotland also for next year. But I think we are in a much better situation now with good capacity on freshwater and that's clearly what we see now in the fourth quarter. So I expect a better development in the fourth quarter this year, and I hope for a better -- also even better for next year. And then by this time of next year, we should also see some impact of how the large smolt in Scotland is performing that we will stock in the second quarter. But of course, there are also some risk when you talk about next year. When you start something -- we saw on the Faroes that when we started with large smolt, there were some issues in the beginning that we now have solved. Of course, we are implementing this also in Scotland from the beginning so that we can focus on the robustness in front of the size of the fish. This balance is quite important.
Christian Nordby: And on your biomass, it's down 20% or something year-on-year now. Is that something we should worry about? Or is that just some seasonal fluctuation randomness?
Regin Jacobsen: The biomass is lower. That's both because of the mortalities that we have faced. But also, we are stocking slightly less now. We take down our guiding next year to 30%. So that's the rationale there.
Herman Dahl: Herman Dahl, Nordea. I just wonder, how much of the mortality in Q3 do you think you would have been able to mitigate in sort of a fully invested setup with large smolt and freshwater capacity on full speed?
Regin Jacobsen: I am pretty sure that with a high-quality, robust smolt and with our full mitigation strategy with freshwater, we will be in a much better situation. Of course, the environment in Scotland is more risky than what we see in Faroes. So there will be always some risk. But with a cycle 10 to 12 months in Scotland in the marine phase, there will certainly be much, much less fish that will be affected several times as what we see now in Scotland with a 20 or 24 months cycle time. So considerably lower.
Martin Kaland: Martin Kaland, ABG. What is the expected cost level in Scotland if we exclude the extraordinary mortality costs? For example, if the mortality would normalize, would then the underlying cost level come down? Or are the remaining fish also carrying a high cost level?
Regin Jacobsen: The extraordinary mortality is taken out when the fish dies. So whenever there is an extraordinary mortality, which is described as a mortality above a certain trigger, then that fish is -- the cost of that fish is taken out. So that means that the fish left in the sea should be at a normal price.
Martin Kaland: But how much of the current, let's say, biomass is impacted or affected by the challenging environmental conditions, but still not defined as extraordinary mortality?
Regin Jacobsen: The extraordinary mortality have been on mainly two areas. One of them is the same that we saw in the third quarter -- the second quarter, which is East…
Høgni Jakobsen: East Lewis and Harris.
Regin Jacobsen: Yes, East Lewis and Harris. Now this fish is about to be harvested out. So that site is empty, I think it's this week or next week. Then there is one site down in the South where there are some remaining fish that will continue even into next year. So that's one area. And then there's one site that will be more or less harvested out later this year. Then there are some areas that have not been impacted. But they were impacted two years ago. So it's not a clear trend that you can say that there are some areas that are clearly out of this. It seems like these [algaes] or these blooms are coming in different areas. And if you look at the map, I think we have something back in the appendix where we show the areas. You can see that when you look at the whole industry, it is more or less all over. But we clearly see that there are some fish that seems to -- or at least with ourselves, some farms that have been doing quite good, which have not been impacted at all. So that could also be that some of the fish seems to be able to handle the challenges. And that could be variances in the robustness of the fish, that could be one of the drivers, or if we have been better to mitigate the risk with freshwater clearance of the gills, which might have then solved issue at that site, but we have not had the capacity to do the same on all sites, which can lead to some fish being impacted. Thank you very much.